Operator: Good day, everyone. Thank you for standing by. Welcome to the Richardson Electronics Earnings Call for the Fourth Quarter of Fiscal Year 2025. [Operator Instructions] Please note that today's conference may be recorded. I will now hand the conference over to your speaker, Mr. Ed Richardson. Please go ahead, sir.
Edward Richardson: Good morning and thank you all for joining Richardson Electronics conference call for the fourth quarter of fiscal year 2025. We appreciate your continued support and interest in Richardson Electronics. Joining me today are Bob Ben, Chief Financial Officer; Wendy Diddell, Chief Operating Officer; Greg Peloquin, General Manager of our Power & Microwave Technologies Group, which includes Green Energy Solutions; and Jens Ruppert, General Manager of Canvys. Today's comments include GAAP and non-GAAP financial results. A detailed reconciliation between GAAP and non-GAAP results can be found in yesterday's press release. As a reminder, this call is being recorded and will be available for playback. I'd also like to remind you that we will be making forward-looking statements. They are based on current expectations and involve risks and uncertainties. Therefore, our actual results could be materially different. Please refer to our press release and SEC filings for an explanation of our risk factors. I am pleased with our performance in fiscal 2025 as our financial results improved throughout the year, excluding the loss on the sale of the Healthcare assets. And we ended the fiscal year with 4 consecutive quarters of year-over-year sales growth and 5 consecutive quarters of positive operating cash flow. Our performance is especially noteworthy as we navigated a difficult global environment, which I believe reflects the hard work of our team and the value we provide our global customer base. Throughout the fiscal year, we faced elevated inflation in key markets, ongoing supply chain pressures and a growing global instability. Particularly in Europe and Asia, nonetheless, Richardson Electronics has remained focused, agile and committed to our long-term vision. Given our well-established global infrastructure, we're well positioned to minimize the impact of the ongoing tariff negotiations and other market constraints. In FY '25, Q4 total sales were $51.9 million, up from $47.4 million in Q4 of last year. While some headwinds impacted our ability to meet forecasted targets, we did see strong year-over-year growth in all 3 of our business units. PMT delivered notable sales growth year-over-year, driven by continued strength in our semiconductor and RF power segments. Green Energy was up over the prior year due to increased demand for our wind turbine modules and Canvys posted another solid quarter, exceeding both plan and prior year performance. Importantly, FY '25 Q4 gross margin improved 50 basis points to 31.6%, reflecting disciplined pricing strategies and operational improvements, particularly in PMT, our semiconductor wafer fab business. We're also pleased to report positive operating income for the fourth quarter compared to an operating loss in the same period last year. We continue to manage SG&A carefully while investing to attract and develop proven talent across our organization. In addition, we continue to pursue compelling growth opportunities supported by our strategic plan. Our cash position remains strong at $35.9 million, providing us with flexibility to support both our ongoing operations and strategic growth opportunities. Before we discuss business unit details, I'll turn the call over to Bob Ben, our Chief Financial Officer, who will provide a detailed review of our fourth quarter and full financial results and capital positions. Following Bob's remarks, Greg and Jens will provide updates on our business unit performance, and then Wendy will follow up with comments on our future growth strategies.
Robert Ben: Thank you, Ed, and good morning. I will review our financial results for our fourth quarter and fiscal year 2025, followed by a review of our cash position. In addition, please note that I will be discussing non-GAAP financial measures. A reconciliation of non-GAAP items to the comparable GAAP measures is available in our fourth quarter fiscal year 2025 press release that was issued yesterday. Consolidated net sales for the fourth quarter of fiscal 2025 increased 9.5% to $51.9 million compared to net sales of $47.4 million in the prior year's fourth quarter. This was our fourth consecutive quarterly year-over-year increase in sales. Fourth quarter net sales growth was led by a 17.8% increase in PMT sales, which was due to higher demand from the company's semiconductor wafer fab customers and distributed products for RF and microwave applications. Also, we experienced a 14.1% increase in our GES business unit and a 9.1% increase in sales for Canvys, which reflected improved market conditions in Europe. Sales growth for the fourth quarter of fiscal 2025 was partially offset by a $2.4 million decrease in Healthcare sales that resulted from lower net sales after the sale of the majority of Healthcare assets in January 2025. Consolidated gross margin for the fourth quarter was 31.6% of net sales compared to 31.1% during the fourth quarter of fiscal 2024. The 50 basis point increase in consolidated gross margin was primarily due to margin expansion in both PMT and GES. PMT's gross margin increased to 32.5% from 31.1% as a result of an improved product mix. GES gross margin increased to 31.6% from 25.5%, also due to product mix. Lower gross margin for both Canvys and Healthcare partially offset the improvement in consolidated gross margin. Operating expenses as a percentage of net sales improved to 30.0% for the fourth quarter of fiscal 2025 compared to 31.3% in the fourth quarter of fiscal 2024. Loss on disposal of assets of $0.2 million resulted from a closing adjustment to the sale of the majority of Healthcare assets on January 24, 2025. In future periods, Healthcare's financial results will no longer be a stand-alone segment and will be consolidated into the company's PMT business unit. Operating income was $0.6 million, and non-GAAP operating income was $0.8 million for the fourth quarter of fiscal 2025 compared to an operating loss of $0.1 million in the prior year's fourth quarter. Net income was $1.1 million and non-GAAP net income was $1.8 million for the fourth quarter of fiscal 2025 compared to a net loss of $0.1 million and a non-GAAP net income of $0.3 million in the fourth quarter of fiscal 2024. Earnings per common share diluted were $0.08 and non-GAAP earnings per common share diluted were $0.12 in the fourth quarter of fiscal 2025 compared to loss per common share diluted of $0.01 and non-GAAP earnings per common share diluted of $0.02 in the fourth quarter of fiscal 2024. EBITDA for the fourth quarter of fiscal 2025 was $2.9 million. EBITDA after excluding the additional loss on the sale of Healthcare assets or adjusted EBITDA was $3.1 million versus $1.0 million in the prior year's fourth quarter. Turning to a review of the results for fiscal year 2025. Net sales for fiscal year 2025 were $208.9 million, an increase of 6.3% from $196.5 million in fiscal year 2024, which primarily reflected higher sales in PMT and GES. Gross margin was 31.0% of net sales, which was 50 basis points higher than fiscal 2024, primarily due to product mix. As a percentage of net sales, operating expenses for the fiscal year were 29.8% compared to 30.3% for the prior fiscal year. Loss on disposal of Healthcare assets was $5.1 million for fiscal year 2025. Operating loss was $2.5 million and non-GAAP operating income was $2.6 million during fiscal 2025 compared to operating income of $0.3 million during fiscal 2024. Net loss was $1.1 million and non-GAAP net income was $3.2 million for fiscal 2025 versus net income of $0.1 million and non-GAAP net income of $0.5 million during fiscal 2024. Net loss per common share diluted was $0.08 and non-GAAP earnings per common share diluted was $0.22 for fiscal 2025 compared to $0.00 earnings per common share diluted and non-GAAP earnings per common share diluted of $0.03 for fiscal 2024. EBITDA for fiscal 2025 was $2.5 million. Adjusted EBITDA was $7.5 million versus $4.5 million in the prior year. Moving to a review of our cash position. Cash and cash equivalents at the end of fiscal 2025 were $35.9 million compared to $36.7 million at the end of the third quarter of fiscal 2025 and $24.3 million at the end of fiscal 2024. Cash flow provided from operations was $10.6 million compared to cash flow provided from operations of $6.5 million in the prior year. Capital expenditures of $0.8 million in the fourth quarter of fiscal 2025 were primarily related to our manufacturing business, facility improvements and IT systems versus $1.0 million in the fourth quarter of fiscal year 2024. Total capital expenditures were $2.8 million in fiscal 2025 as compared to $4.0 million in fiscal 2024. As a result, we are pleased to report free cash flow was $7.7 million in fiscal 2025. We paid $0.9 million in the fourth quarter and $3.4 million in fiscal year 2025 for cash dividends. In addition, based on our current financial position, our Board of Directors declared a regular quarterly cash dividend of $0.06 per common share, which will be paid in the first quarter of fiscal year 2026. As of the end of fiscal 2025, the company had no outstanding debt on its $30 million revolving line of credit with PNC Bank. Now I will turn the call over to Greg, who will provide more details for our PMT and GES business groups.
Gregory Peloquin: Thank you, Bob, and good morning, everyone. PMT and GES are key components of our multiyear growth plan. Coming out of FY '24, we had a strong backlog, launched several new products, expanded our customer base and advanced multiple development programs from beta testing to preproduction. Building on that positive momentum, we expected growth in FY '25. Well, we are pleased to report that for fiscal year 2025, GES grew to $28.7 million, a 23.6% increase over fiscal year 2024 with a strong book-to-bill of 1.25. PMT also grew to $137.8 million, up 7% year-over-year with a book-to-bill of 1.03. And turning to Q4, we saw double-digit growth for both business units. PMT sales rose 17.8% with a book-to-bill of 1.03, and GES sales increased 14.1% with a book-to-bill of 1.10. Leading GES growth in Q4 was our pitch energy modules and related wind energy products. We continue to gain market share from new customers such as RWE and Xcel Energy and key owner operators who have recently completed beta testing, including TransAlta. We also saw growth from our new multi-brand OEM turbine platform. Today, we serve dozens of wind turbine owners and operators, including exclusive partnerships with the top 4 owner operators of GE wind turbines in North America, RWE, Invenergy, ENEL and NextEra. Additionally, we continue to grow this program internationally, expanding into Europe and Asia with new products and other turbine platforms such as Suzlon, Senvion, Nordics and SSB. Our GES growth strategy centers on power management applications. We've rapidly designed multiproducts, secured patents and built a strong global base of customers and partners. Our success is evident in our growing pipeline as we capitalize on numerous growth opportunities to support new power management requirements, significant energy transformation and wind turbine repowering projects. We're entering FY '26 with solid momentum. Key initiatives include faster design to production cycles and implementing a new design center in Sweetwater, Texas. SweetWater has one of the largest concentrations of wind turbine engineers in North America. Expanding our design team to accelerate and enhance design cycles prior to transitioning work to our world-class manufacturing and testing group in LaFox, Illinois is one of the most critical strategic priorities we have. Turning to Power & Microwave Technologies Group, or PMT, which includes Electron Device Group, or EDG, our legacy tube and semiconductor wafer fab equipment business and our RF Power & Microwave Group, known as PMG. In the quarter, sales growth was led by double-digit growth in our RF and Microwave Components business as we see growth in RF and wireless applications such as SATCOM and military applications, including radar and drone technology. We also saw continued growth in our fourth straight quarter among our semi-fab equipment manufacturing customers. GES backlog grew in the fourth quarter to $42.5 million. Our combined GES and PMT backlog ended the year strong at just over $99 million. The team has done a good job making sure we have the right products at the right time. We remain focused on managing all aspects of our business to maximize profits while meeting the needs of an expanding customer base. Looking ahead to FY '26, we are excited about the strategic initiatives across PMT and GES, including our development of an ESS program, global expansion of Green Energy products and new technology partnerships. While we are navigating a higher degree of uncertainty associated with the impact of new and reciprocal tariffs and market conditions, we are pursuing opportunities that may come from these disruptions. A key pillar of our growth strategy is expanding global technology partnerships that fill technology gaps, reduce tariff risks and align with our strategic priorities. Through these partnerships, we often identify opportunities for new products that we design, manufacture and test in-house. This approach enhances the value we provide our customers and allows us to capture more revenue while expanding and diversifying our customer base. These technology partnerships are key to our customer relationships with all products. We're investing in infrastructure, expanding our design and field engineering teams and enhancing our in-house design and manufacturing capabilities to support the growing demand and innovation. Our growing in-house design and engineering and manufacturing teams are doing an excellent job supporting increased demand for current products and new product designs. Our field engineering team continues to identify new customers and opportunities. We need to invest in the team to keep identifying, developing and introducing innovative products and technologies for Green Energy, power management and RF and microwave applications. Our global capabilities and global go-to-market strategy set us apart from our competition in the power management, RF and microwave and Green Energy markets. We have developed a business model that combines legacy products with new technology partners and solutions, aligning with our growth strategy to deliver engineered solutions to a global customer base. This model differentiates us from our competition. Finally, we're closely monitoring the impact of new tariffs and current administration's new bill. As we've done successfully before, we're adjusting our global supply chain, emphasizing non-China sources. We've already achieved this for most of our wind turbine products, which now include less than 5% Chinese components. Our GES products and technology partners support our product strategies as it appears federal subsidies will be harder to get under this administration. Looking at our ESS strategy, we are focused on sales in key states that will continue their very large subsidies such as Illinois, Massachusetts and California. We are also expediting our efforts to expand market penetration of our Green Energy products globally into Europe and Asia as currently about 70% of our GES sales are in North America. We are working on these initiatives alongside marketing our services to companies who need partners in the U.S. to manufacture, test and support products currently made in other countries throughout the world. We acknowledge that there are a lot of moving parts and unknowns, but we have successfully used our global resources and capabilities to mitigate the effects of the situation like this in the past. So, in summary, we are entering FY '26 with a strong book-to-bill and double-digit growth in Q4 sales. We have new technology partners that fill technology gaps, and we've added new products in the power management area. We have a proven strategy of identifying opportunities in the multibillion-dollar markets we serve. As a result, we feel FY '26 will be another year of growth for both PMT and GES. And with that, I'll turn it over to Jens to discuss Canvys.
Jens Ruppert: Thanks, Greg, and good morning, everyone. Canvys engineers, manufactures and sales custom displays to original equipment manufacturers across global industrial and medical markets. It is our mission to deliver high-quality display solutions tailored to our customers' needs. Canvys reported revenue of $9.5 million in the fourth quarter of fiscal year 2025, an increase from $8.7 million in the same quarter of the previous year and a 2.9% sequential improvement from the $9.2 million in sales during the third quarter of fiscal year 2025. In fiscal year 2025, sales increased 2.2% to $33.1 million from $32.4 million during fiscal 2024 due to higher sales in the North American markets. Our gross margin as a percentage of net sales decreased to 32.1% from 33.5% in the fourth quarter of fiscal year '24. Our fiscal year 2025 gross margin as a percentage of sales decreased to 32.9% compared to 33.8% during fiscal year 2024 due to product mix and higher freight costs. The backlog at the end of the fiscal year 2025 remains strong at $33.9 million, providing a robust foundation for future business. During this most recent quarter, Canvys secured orders from both repeat and new medical OEM customers for a range of applications. Our primary focus remains on robotic-assisted surgery, navigation, endoscopy and human machine interface, HMI solutions for the control of medical devices. Furthermore, our solutions are widely utilized in various commercial and industrial applications. For instance, our products enhance passenger information systems in trains and buses and improve HMI technologies used in printing, vending, milling and packaging equipment. Our strategic initiatives aim to boost Canvys' visibility and market leadership. We pursue new opportunities, connect with potential customers and engage with industry peers and drive growth and innovation through collaboration. Looking ahead, we are cautiously optimistic about improving demand in our markets. Positive indicators such as increasing request for quotes and encouraging customer feedback suggest steady growth. Our dedicated sales teams continues to explore new opportunities, while I focus on implementing strategic plans to ensure sustainable growth and deliver long-term value for our shareholders. I will now turn the call over to Wendy.
Wendy Diddell: Thank you, Jens, and good morning, everyone. Fiscal 2025 was a year of strategic transition and execution, highlighted by the decision in January 2025 to sell most of our Healthcare assets to DirectMed. As a reminder, as part of the transaction, we entered into an exclusive 10-year global agreement. Under this agreement, we supply DirectMed with repaired Siemens CT X-ray tubes and a limited supply of ALTA tubes. During the fourth quarter, our team did an excellent job producing ALTA tubes and heat exchangers. Beginning in Q1 FY '26, we will report the CT tube business under our PMT business unit. Until we finish the ALTA tubes later in the fiscal year, this may have a slightly negative impact on PMT's overall gross margin. Given the size of the tube business compared to PMT sales, this should not be material. With the strategic asset sale of Richardson Healthcare now behind us, more of our attention is focused on ways to accelerate growth and improve efficiency. We continue to work with management and the Board on a series of strategic priorities that we believe will take our business to the next level. We are pursuing new growth opportunities, managing costs and allocating capital in areas that we believe produce the highest rates of growth and returns. During the fourth quarter, we were pleased to see the success of ongoing efforts to improve cash management and working capital efficiencies. This financial discipline gives us flexibility to invest in targeted growth priorities without compromising our financial stability. We remain highly intentional with how we deploy capital, balancing near-term opportunity with long-term value creation. As Greg mentioned, one of our primary near-term investments is the expansion of our wind turbine program across Europe, the Middle East and parts of Asia. In FY '25, sales to wind customers represented $10.7 million in revenue. We believe we can increase sales in this market for many years to come because of the available market share, our expanded product range, and the value our products provide. Our wind customers consistently report improved turbine efficiency and extended lifespan when using our products. Downtime due to battery or grid failure is one of the main reasons for lost profits and revenue. This has become increasingly important as shifting political and regulatory dynamics may delay new wind farm construction, making the performance of existing infrastructure even more critical. Our experience developing new power solutions for the wind market provides us with the confidence to leverage our know-how in adjacent markets. As a result, we're making progress developing a world-class battery energy storage demonstration site at our LaFox facility. The demand for battery energy storage continues to accelerate, and our turnkey solution positions us to capitalize on that growth. At the same time, we're working to increase the U.S.-made content of our solution by leveraging our internal engineering and manufacturing capabilities. This aligns with both customer demand and broader domestic manufacturing priorities. Another strategic focus is expanding our U.S.-based manufacturing services. We are completing a marketing campaign launch and anticipate interest from companies looking to rapidly establish or shift production to the U.S. We are well positioned to support them. By leveraging our core engineering expertise and strategic technology partnerships, we're able to deliver high-value solutions in critical power management and energy applications. Longer term, we remain committed to pursuing a thoughtful acquisition strategy. We're looking for the right opportunities to utilize our capabilities and accelerate our growth while making full use of our global infrastructure. At the same time, we're taking a hard look at our current organization structure, especially given today's shifting economic policies with a focus on optimizing our operations for improved profits and resilience. As you can see, we have a growth-focused strategic plan that leverages our financial strength, outstanding customer and technology partner relationships, and the efforts of our dedicated and committed team. We believe the organic opportunities we are pursuing will support meaningful growth over the next several years, while we consider longer-term opportunities that accelerate our growth through strategic acquisitions. We are excited by our potential, and I look forward to sharing the progress we are making on future calls. I'll now turn the call back to Ed.
Edward Richardson: Thanks, Wendy. Looking forward, we remain committed to enhancing shareholder value. We're focused on improving profitability, selectively investing in high-growth areas. While the economic environment may remain volatile over the next term, we're confident in our long-term ability to adapt, execute and grow. Our team has navigated through uncertainty with resilience and determination, and I want to thank our employees around the world for their hard work and dedication. Now we'll open the call for questions.
Operator: [Operator Instructions] Our first question coming from the line of Bobby Brooks with Northland Capital Markets.
Robert Brooks: When we had our fireside chat back in January, the dynamic of how you could not sell your ultracapacitor products to GE turbines under GE service contracts was discussed. I think, Greg, you mentioned internal, how an internal GE team was reviewing this matter at the time. I get that these things can take some time, but I wanted to check in and see if there's any update on you being able to sell into those customers because that's obviously a substantial part of the market.
Gregory Peloquin: Bobby, Yes, fantastic. We met with them. We worked with products. And then when they wanted to do the one last final test, we needed, and this is about a month ago, we needed an NDA and a test NDA for them to do that. The engineering team then sent that up to GE Legal. And as we know, with companies that size, it's been sitting there for a month. So, we're pushing to get that signed so they can finish up the testing and all indications that final testing will then have them define that the service agreements will not be jeopardized if they put our products in for the current lead acid battery. So summary, moving forward, we're talking directly to GE to the engineers. We got to who we needed to get to. Now it's some paperwork issues, which we're dealing with.
Robert Brooks: That's really exciting. And I guess, could you just talk about what would then, would you then be able, would you have like a list to go after in terms of customers that were previously closed off? Or how would that kind of, because it would definitely, I mean, I think it's like 50% of turbines right under these GE service contracts. So, I feel like it would open up a really big, immediately open up a big door for you guys. Am I thinking about that right? And just talk about how you would think about attacking that opportunity?
Gregory Peloquin: Yes, it almost doubles our SAM. I don't like to use TAM. So, our service available market where we have a product that can go in immediately. We thought it was 50%. But since we've been dealing directly with GE, I asked the question, and they said it's about 35% of their owner operators have had service agreements with them. So, it would increase our SAM 35% as soon as these customers who are some of the same customers we're selling today, but other products, not the pitch energy module can move forward and start putting these in. So yes, it would be a nice, definitely a nice uptick and definitely a nice increase in SAM.
Robert Brooks: Got it. And then just one last one, if I could squeeze it in here. As your fiscal '25 has come to a close, could you just discuss some product wins you enjoyed during the year for Green Energy Solutions? We've gotten a pretty consistent drip of exciting pilot projects or potential verticals to attack. But I'm more so focused on does your '25 GES results have a benefit of any new, let's say, commercial opportunities where if, where I'm comparing it to the '24 results that didn't benefit from that?
Gregory Peloquin: Yes. Probably the biggest benefit has been market share gains. I think we did a couple of press releases. So market share gains, we got the RWE agreement, and they're larger than NextEra, ENEL and Invenergy. They're the largest of our, of the top 4 owner-operated GE wind turbines. The TransAlta agreement, which is exciting. That's for a new multi-brand that's on the books. And then I believe we announced it in December, the Xcel Energy agreement, and we're shipping to that. That's why you saw double-digit growth in the fourth quarter. And we got engineering sign-off on the Wabtec StartSaver module for the locomotives, and that product will start shipping in September. So those are probably the 4 major bookings that we did in the past 12 months that will help us launch FY '26. And when the dust settled, Bobby, it was 26% growth, a 1.25 book-to-bill, increase in gross margin from 25.5% to 31.6%. So, all parts of the business grew. The only thing that went down was inventory, which is a positive. So, we're excited with what we're able to accomplish. It's spread out. We grew 84% in Q1 and 129% in Q2 and then 14% in Q4. So, we're trying to increase our backlog and our products. And then a number of new products we introduced. We did a couple of press releases that are coming out that are getting good signs of, from alpha to beta testing, and we'll see incremental revenue from those also. And then finally, the expansion into Europe and the BESS program, we'll start seeing fruition in that Q3, Q4, which will help our FY '26, but definitely launch us again like we are right now into FY '27. So, all arrows are up, just how much is somewhat in our control and somewhat not.
Operator: Our next question coming from the line of Anja Marie Soderstrom with Sidoti.
Anja Soderstrom: So you mentioned when you talked about the PMT that you have a lot of competitive advantages. Can you just talk a little bit about the main competitors within this segment and how you compare to those?
Gregory Peloquin: I'm sorry, for PMT?
Anja Soderstrom: Yes.
Gregory Peloquin: On the tube side, I'll let Ed answer that question. But on the component side, your competitors are your standard industrial distributors and then a handful of local distributors/rep companies throughout the world. So, it's your Avnet, your Arrows, your TTI has an RF group. And of course, our biggest competitor is our former RFPD organization. They're still the largest, but they're a division of Arrow. So, what we're seeing is there competitors, I consider a competitor, anyone who can sell the same products I do, but their model is different. They're more contract manufacturing and we're more in demand creation and design. And if you look at our line card, I don't think there's a lot of competition because of the smaller niche disruptive technology suppliers that we have. And then, of course, our model is different because we can also design in the components like our competitors can, but they don't have a world-class engineering and manufacturing group that you can also use the components to design modules, et cetera, and they don't have anywhere near the global infrastructure we do to support those customers worldwide. So, but there are competitors there, but in different aspects of our model.
Anja Soderstrom: Coming back on the good performance there. I'm sorry. Good morning Ed.
Edward Richardson: As far as the 2 business is concerned, we probably own 80% of the market. So, there's very little competition. And in the semiconductor wafer fab industry, there are a lot of competitors, but a lot of the products that we make were sole source on. And we're really counting on that business in the future to be a very high-margin growth area for the company.
Anja Soderstrom: Okay. And I just have one question about the strategic opportunities. Are you looking at anything actively right now? And what kind of opportunities are you looking at?
Wendy Diddell: No, our first priority is related to the expansion of Green Energy, the products and programs that Greg already mentioned that are just getting well positioned in the market. Near term, there is plenty of opportunity to gain market share to gain additional revenue from the new products and the new programs. So, we've really looked at our plans for FY '26 and our resource allocation towards what that team needs in order to take advantage of the development that we've already done. So, on the acquisition side, that will be, as we pointed out, more of a longer term and more of an opportunistic approach. So, we're not out there actively today trying to find the right companies, but we remain open to the ideas of technology companies that would tuck in nicely with our Green Energy business unit and for which maybe it's a company that has products that we can manufacture in LaFox, which would help our overall gross margin and also which would take advantage of the global infrastructure.
Operator: Our next question coming from the line of Mark Mandell with Charles Lane Capital.
Mark Mandell: It's been a while. Congratulations on all your hard work. I think you know where I'm going to go. The business now has a rock-solid balance sheet. As you said, we're up to $35.9 million in cash. You've got now consistent positive operating cash flow. You worked on hard, and we appreciate it. The Board is better aligned through their stock ownership, though I think we still need to see more courageousness at the Board level. They shouldn't be just getting to the minimum. They should be courageous and striving to do better. We would now like to see the Board reward long-term shareholders, and there really is no reason to be not repurchasing shares below book value with your balance sheet. So, I just want to reiterate, you've done a great job cleaning things up, you and Wendy and the team. Other companies do it. We'd like to see you guys be courageous and reward long-term shareholders when the value of your business is not reflected in the long-term value of the organization. Any comments would be appreciated.
Edward Richardson: Well, we talked about stock repurchase in every Board meeting and have a fair amount of experience with that when we sold the semiconductor business to Arrow years ago, we bought back $45 million worth of stock. And every time we would buy the stock, the price of our stock would go down. So, people were valuing the company on the amount of cash we had and didn't really give us credit for the stock buyback. So, I would say we're very cautious in buying additional stock back.
Mark Mandell: Well, Ed, that's not really fair because in the past several years, your stock went up to $20. So, your repurchases were value added. It just takes time. I mean, the price you pay, which was a good price, was rewarded to long-term shareholders. And your business today is not just a one-trick pony anymore. you've got multiple legs to the stool. And if you guys see the future, the way we hear on the conference call of these multiple business lines, then there is tremendous opportunity, and you have to be courageous when the market is not seeing the value.
Edward Richardson: Well, we certainly look at it every quarter. The one thing we're probably more interested in is using our cash to expand the business into other markets for higher growth. And we keep looking into that area on a perpetual basis.
Mark Mandell: All right. Well, all we ask is that you entertain it at the Board level, and I think it would be a strong sense of confidence to all shareholders and constituents.
Edward Richardson: Well, we appreciate your recommendation, and we look at it every quarter, and we'll let you know how we proceed in the future.
Operator: [Operator Instructions] Our next question coming from the line of Chip Rui with Rui Asset Management.
Chip Rui: Good year, kind of transition stabilizing here. So, it was nice to see it. And your business does have kind of a multi-legged stool. But what I see are 2 main businesses, kind of like a double barrel shotgun that will drive performance for the company and for the stock when they hit stride. And I guess I want to ask a question on both of those, and I'll ask them at the same time, and you can divvy up the answer. But first on GES. I still think it's neglected and not really well known what the long-term positive could be there, especially for the wind pitch modules. It's white space growth for the company, but what's exciting is it's into an existing aftermarket. The assets are there in the field and they're working, and your product improve those and longer as a service cycle. So, the question there is, and what we haven't seen is kind of consistent growth. And when are we going to see higher quarter-over-quarter sequential growth? I mean there's so much opportunity here and the sales levels are emerging. Are we there yet? How does the TransAlta agreement help that, maybe some of the other ones you mentioned? And when can we be at a point where investors can kind of embrace this as a growth business and not have bumps in the road as a start-up business would? And the second question is different on the semiconductor CapEx side in Lam and the players there. That's kind of a core business. It's in a protracted down cycle, and it's been a protracted down cycle. So, somebody who grew up in capital-intensive industries, the longer you're in a down cycle, but the long-term industry is positive, the more potential there is. And so, when are we going to see inflection off the bottom there to get back to even moderate to potentially strong levels. And if those 2 pieces, wind pitch and semi-CapEx work, it's just great and then everything else can kick in down the road. So maybe address those 2 points for me, please.
Gregory Peloquin: Okay. I'll touch on the GES program and the growth. It's still going to be project-based business for a while. And like I mentioned, in FY '25, we had quarters where we're sequentially up double-digit year-over-year growth of double-digit growth 3 out of the 4 quarters. That's probably going to continue because of the size of these projects and the size of the group. Until we're multibillion dollars like the customers we're selling to, you're going to see that for a while, but it's going to be a positive because when you have these large, major orders and large major shipments, these customers do not forecast well at all. So, you're going to see times when a product was supposed to ship in Q1, but it shipped in Q2 and when a product was supposed to ship in Q4 and ships in Q3. So, you can get the highs and lows of that. But the end result is we put together an annual plan and that annual plan produced growth in all aspects of the business, and we fully expect that going forward. And as we implement the 3 main strategic initiatives, we might see some, we're definitely going to see growth, but we might see some flattening out quarter-over-quarter and year-over-year. And with the global expansion, I mean, 70% of our GES business is North America. The European market is as large, if not larger, than the North American market. That expansion will happen. Getting products to market faster will help, again, manage the quarter-over-quarter growth in sequential and year-over-year, putting together a design center where we can find the resources to get products designed faster and then get them to our LaFox manufacturing team. And then continue with, and this will be very up and down quarter-over-quarter is our Engineered Solutions energy storage systems and containers. And that program is funded. It's up and running. We're getting the demo site together. So, I just think the group, and I think they've done a great job of it so far, needs to implement the strategy, and we just manage the exceptions, which happen, whether it be tariffs and other things that happen with customer design cycles. And you mentioned TransAlta, I think we may have, or you may have seen the press release on that, and that's a customer we were dealing with for 2 years, just service the hell out of them. And in the end, they finally got the budget approved. They got the capital request approved, and they bought the product, and we'll be shipping that in 2025 calendar year. So that the model is very strong, and you continue to see the technology partners we're adding. So, the funnel is being filled. We have an increase in demand, increase in customers, increase in new products. And it's just how fast can we get there. And we've done this before. I've done it for 40 years, the new product introduction process. And we're doing what changes we need to make to expedite the growth. But the growth is there, the products are there, the customer relationships are there, and that takes so much time. I mean I know people and friends in the industry that have been trying to get into NextEra for 5 years. They want to talk to, and we're their major supplier within a few short months at that time. So that's kind of what we see going forward. We fully expect double-digit growth again next year. But if a handful of these programs we have going on and these quotes and projects, it could be high double digit.
Edward Richardson: I can talk about it, if you like. In the peak years, the semiconductor wafer fab business was over $40 million. And this year, Wendy where are we somewhere around $20 million A little bit more than $20 million. And part of that, Lam was really a great customer at the end of the peak, the last time around, we had a lot of inventory on hand, which they bought and paid for. And we had, as we were shipping orders since then, they absorbed that inventory, but we weren't able to show it as sales. And at the end of the fourth quarter, we've absorbed all of that inventory. So, the sales that we have now will be 100%. And we're seeing it improve every quarter. And if we could see that business again to go from $20 million plus up to $40 million, it's one of the highest margin businesses we have. So, it would have a major impact. And we're sole sourcing the majority of those products. There are things like RF matches that sell for $30,000 plus, and we probably sell them 100 different components. And they have monthly calls with all of their vendors, and they're very optimistic about the future of the business, and we think our business will grow as they grow.
Chip Rui: That's positive. So, you said Lam is sold through all of your inventory basically and it's now kind of back to take and pay?
Edward Richardson: That's correct, yes.
Operator: And I'm showing no further questions. I will now turn the call back over to Mr. Ed Richardson for any closing remarks.
Edward Richardson: Thanks, Olivia. Well, thanks again for joining us today and for your questions during the Q&A. As we wrap up the year, I want to thank all of you for your ongoing support and interest in Richardson Electronics. We know this quarter came with its share of challenges, but we've made real progress, and we're staying focused on what matters most, running a strong business, supporting our customers and building for the future. We look forward to talking to you again in October. And until then, we're available any time, free to call us, and we'll answer more questions for you. Thanks very much.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation, and you may now disconnect.